Operator: Thank you and welcome to Betterware’s Fourth Quarter and Fiscal Year 2022 Earnings Conference Call. With me on the call today are Betterware’s Executive Chairman, Luis Campos; Betterware’s Chief Executive Officer, Andres Campos; and Corporate Chief Financial Officer, Alejandro Ulloa. Before we get started, I would like to remind you that this call will include forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. Any such statement should be considered in conjunction with the cautionary statements and the Safe Harbor statement in the earnings release and risk factors discussed in a reports filed with the SEC. Betterware assumes no obligation to update any of these forward-looking statements or information. A reconciliation and other information regarding non-GAAP financial measures discussed on the call can be found in the earnings release issued yesterday, as well as the investor section of the company’s website. Now, I would like to turn the call over to the company’s Executive Chairman, Luis Campos. Please go ahead sir.
Luis Campos: Thank you, operator. Good morning everyone and thank you for joining us today. I would like to begin my remarks by providing a brief recap of 2022, a year with significant challenges, but also with significant accomplishments. Including the completion of the JAFRA acquisition. The progress we have made so far in terms of reigniting its growth and increasing its profitability and the plans we have for the year. Then Andres will discuss Betterware's results for the year and the key strategies and expectations for 2023 to return to growth. And finally, Alejandro Ulloa, our Corporate CFO, will discuss our quarterly and full year consolidated financial results, our expectations for 2023, and our capital allocation strategy going forward. As we mentioned in our earnings release published yesterday, 2022 was a transformational year for our company. During the year, we successfully completed the acquisition of JAFRA's operations in Mexico and the US, along with its trademark rights worldwide. This acquisition has made us a more resilient company with a more diversified portfolio and position unique product segments that allow us enter the attractive beauty and personal care markets in Mexico and the US. It has allowed us to leverage JAFRA's strong and well-positioned international brand giving us access to millions of households through its thousands of consultants and leaders. In the short period since the acquisition, we have made great progress towards increasing JAFRA's profitability and reaccelerating its growth. Starting 2023, we believe our company is in viable position to capture growth, and add value to our stakeholders, which among others include our sales distribution network both at JAFRA and Betterware, our collaborators, and our shareholders. First, I will share insight into JAFRA Mexico. During 4Q 2022 and in general, during the year, outstanding results were achieved compared to 2021, which surpassed our expectations for the year. This was driven by the successful implementation of various business strategies aimed mainly at recovering and sustaining our base of leaders and consultants and powering them with tools that increase their activity and productivity. The strategies that resulted in a topline reacceleration include among others. Number one, resuming the face-to-face dynamic with our consultants and leaders, increasing training and events as people have most return to their normal activities. Number two, improving our catalog with increased product innovation, adapting to current local and global trends in a faster way as we reduced our time-to-market from 18 to only eight months. And number three, enhancing our incentive program and strategic promotional campaigns. In terms of costs and expenses, discipline and control stands out, coupled with savings, efficiencies, and synergies from the incorporation of JAFRA to the Betterware Group, resulting in better than expected EBITDA and EBITDA margin for the quarter and for the year. For 2023, the company will continue to invest in innovation, considering global trends in consumption habits, formulas and exclusive and quality ingredients to increase brand equity and maintain leadership in both sales and units in the Fragrance category and increase its participation in the segments of Skincare and Color. We are in the process of rebranding many of JAFRA's brands to make them more current, attractive and profitable. We will also continue with the digital update in accordance with business priorities, which includes the launch of Jafranet 2, our app for consultants. And the development of a chatbot that allows immediate and permanent interaction with the field and should result in increased their enrollment of leaders and consultants. And finally, we continue to be in the process of identifying and implementing synergies and best practices as a group, which we expect to result in economies of scale and increased productivity. All the above is focused on strengthening the brand, increasing our market share in all of our product lines, while increasing our profitability. As for JAFRA USA, in 2022, we saw negative results coming from strategic changes made in 2021 under the previous management, which led to lower productivity and activity by their consultants, which resulted in lower than expected net revenue. In Q4, 2022 to combat the trend of declining revenue productivity, activity, and sponsoring, we implemented an aggressive online promotional strategy and extensive warehouse sale and a very lucrative sponsoring incentive. These initiatives helped bridge a portion of the gap in revenue and consultant numbers, but was not a long-term sustainable strategy. In 2023, JAFRA USA is focused on a business turnaround. We will be making a notable effort to improve the client and consultant opportunity and bring stability to the business. We have identified several key areas of focus. Number one, brand identity. According to the [Indiscernible] Group, a consumer research company, JAFRA has a brand love score of 37%, main competitors are above 50%. Neutrality towards JAFRA is the main driver of the lower percentage. To improve brand love, JAFRA has initiated every brand with studio clutter [ph] to redefine our brand style guide. Number two, product innovation. We are extending our product categories to include wellness, which according to the direct selling association increased its direct selling industry revenues from $12.4 billion in 2016 to $15.4 billion in 2021. We are also focused on improving our current product offering by first addressing problematic areas that are key talking points in the US ingredients and packaging sustainability. Animal testing and quality free certification. And the JAFRA formulation stands or ingredients we say not do it. Second, by creating a JAFRA skin care category that opens the door to a new demographic, the younger consumer that does not shop a system but compiles their ideal custom skincare routine based on personal needs and market trends. And third, by minimizing key gaps in our color portfolio. Number three, marketing, our marketing area will be partnering with IT and software enhancements that will make us more competitive in the space while meeting the needs of our consultants and consumers. In addition, a digital focus will be to build our client base independent of our current consultant base to increase direct connection with the final client. Number four, business development within the JAFRA program, there are barriers to entry and barriers to advancing in rank. We simplified entry as a consultant with a one page registration. We have simplified the conversation for the consultant by integrating the start-up kit and the consultant pack into one starter kit option, allowing them to join with a commissionable kit that bombs them to the 50% Personal Commission peer. We also adjusted or removed commission pieces that were motivating the wrong behavior or were a barrier to advancing in front. Commissions will continue to be a focus in 2023 as we work to simplify the commission structure and have an affiliate rank for those who sell through social platforms. In terms of technology, we are working with direct selling software leaders to provide our consultants with a comprehensive virtual office experience, which would include a commission dashboard with insight into where the consultant currently stands regarding commission or rank and a tool that prompts additional behaviors that drive those metrics. A recognition dashboard that shows company and personal standings creating healthy competition at the field, an individual level and a hospice program that allows consultants to set- up party links, assigned a hostess, clients by payments and awards behaviors. We are confident that as we continue to implement the 2023 commercial strategy, we will see slow, but steady growth. However, initially, we do expect a decline as consultants readjust to the new JAFRA environment. In fact, during January 2023, we have experienced some negative impact due to these changes. But months today in February, we are already seeing a positive shift allowing us to believe that we are moving in the right direction. I will now turn the call to Andres to discuss Betterware performance for the quarter and the year, and our business strategies to return to growth.
Andres Campos: Thank you, Luis, and good morning to everyone. Thank you for joining us today. As Luis mentioned, 2022 was a transformational period for our company in general and for Betterware Mexico in particular. We believe last year was the conclusion of an extremely abnormal period, which came with extraordinary challenges and remarkable achievements. We are proud of our results. And after a normalization period, where people have mostly returned to normality, we continue to have a network of associates and distributors of twice the size it was in 2019, having captured the tremendous growth opportunity that the COVID pandemic brought with it. As you may remember, our growth rates exploded during the first quarter of 2020 and continued through first quarter of 2021 due to lockdowns, resulting in increased demand for our household products and the increased need from people to generate an extra income when employment and economically active population sharply declined, which derived in a sharp increase in our associate distributor base. Then since 2Q 2021, and through 4Q 2022, the normalization phase took place. We underestimated the impact that the return to normality would have in our sales network churn, due to the sharp decrease in demand for household products and therefore in our revenues. Having said that during the second half of 2022, we were able to improve the rate of decline in our distribution network making us confident that, we are close to its stabilization and return to growth. It is relevant to mention that during this period, the home solutions market contracted more than our revenues. Therefore, we were able to increase our market share from 4% in 2019 to 8% in 2022, while reaching approximately 70% of market share within their direct selling channel in our categories. During this period, we restructured our operating expenses to align them to the current levels of sales. Reducing fixed expenses and improving our distribution expenses as a percentage of net revenue, which proves our operational flexibility and will allow us to regain our profitability margins going forward. We also redefined the commercial strategy starting in the second quarter of 2022. In order to adapt it to the new reality of the market which already had a positive impact in our third quarter of 2022, and mostly in our fourth quarter of 2022 results, reducing our revenue rate of decline as mentioned in our earnings release yesterday. We believe that the restructuring of spending and the new commercial strategies have allowed us to start at an adequate level in 2023, which we can confirm with the results obtained in the first eight weeks of the year in terms of profit margins and average weekly sales, with the latter, growing 3.3% compared to what was registered on average during the fourth quarter of 2022. If March continues this trend, quarter one of 20 23 will be the first quarter for -- in the last seven that we will stabilize sales or even growth compared to the previous quarter. This gives us confidence that, we have the right initiatives in place to move the business forward positively. Let me share these initiatives with you. First, in terms of product, during the pandemic stage, the product portfolio was modified to meet the needs of the market, partially removing the focus from our core products. The redefinition of our commercial strategy is taking us back to concentrating our efforts on the core and expanding the number of SKUs. During the second quarter of 2023, we will cover 100% of our mainline, recovering almost 26 core concepts that we hope will generate incremental sales of $150 million to $200 million per quarter. In February, we returned to 340 SKUs per catalog. And in April, we expect to reach almost 370. This will expand our catalog by eight pages starting in April. We are also ready to introduce the new categories of 2023 which will be launched along this year, including Wellness, Wipe is for Cleaning, Baby and Kids category, Bedding, Hydration 2.0, Pets and Concentrated Clinical Products. With them, we expect an incremental sale of MXN200 million to MXN300 million per quarter. Second, our catalog redesigns. We launched a new design of the physical and digital catalog in January of 2023, achieving better exposure of our products, our prices, our offers, which should lead to greater excitement and superior navigability to improve sales conversion rates. Third, sales strategies. We are strengthening our sales strategy with the following three initiatives. First, an incentive program focused on attracting new associates in this attributors to achieve better start up compensation as well as an approach to keep them buying from their first catalogs in order to achieve attractive bonuses since the start. Second, our new Betterware+ app, which generates a better experience and functionality for our sales force. Such as easily registering other distributors and monitoring their performance. It is important to mention that the entire sales force is completely migrated by the end of February of 2023. And third, our new sales staff strategy with more than 80 new field managers who will work face to face with our distributors to motivate and train them on the field so they can become more successful. Fourth, operations, we have approximately MXN300 million of excess inventory, which we will gradually reduce during 2023 and 2024, because we're prioritizing the exposure of best seller products in main categories and new categories. We are also working on the diversification of products manufactured in China. We are actively looking for plastic textile, metal mechanical, electrical and electronic manufacturing options in other countries such as India, Turkey, Southeast Asia, Central and South America, and especially Mexico. We believe that by 2024, we can be manufacturing more than 30% of our revenue outside of China. We are confident that these strategies will get us back on track and allow us to return to growth in 2023 and continue to profitably grow going forward. Now, I will turn the call to our corporate CFO to discuss our 2022 financial results and expectations for 2023.
Alejandro Ulloa: Thank you, Andrés, and good morning, everyone. I would like to review our fourth quarter and fiscal year 2022 results. Please keep in mind that the currency I will refer to when reviewing our results and guidance is the Mexican peso, which is our functional and reporting currency. Additional details can be reviewed in our earnings release published yesterday. I will then share perspectives on how we are approaching 2023 and discuss our capital allocation strategy going forward. As mentioned by Andres, in the case of Betterware the effects of the return to normality have been tougher than we anticipated and amplified by a softer discretionary consumption environment in 2022 due to surging inflation. In the case of JAFRA Mexico, we have been experiencing positive results in the acquisition. And as for JAFRA USA, its numbers are quite small relative to the complete group. Yet, we are currently going through a turnaround process to change previous year negative trend. Given these factors, our consolidated results for the quarter are the following. Consolidated net revenues increased 48% compared to fourth quarter 2021, explained exclusively by the inclusion of JAFRA results, which was partially offset by the decline of net revenues in Betterware. Comparable net revenue declined 37.1% due to a lower level of associates and distributors coupled with a lower associate activity rate. Consolidated gross margin expanded 1,605 basis points to 69.7% compared to 53.7% in the fourth quarter of 20 21, explained mainly by JAFRA’s higher gross margin profile and a 233 basis points margin expansion in Betterware, mainly due to price increases, lower input costs and the normalization of supply chains globally. Consolidated EBITDA for the quarter was MXN566.3 million, 53.6% higher than in fourth quarter of 2021. JAFRA Mexico and JAFRA USA positively contributed to EBITDA, representing 59% and 3% of consolidated figures respectively. EBITDA margin expanded 64 basis points to 17.5% comparable EBITDA decreased 42.2% and comparable EBITDA margin contracted 138 basis points in line with lower net revenue and loss in operating leverage. Consolidated net income was MXN209.3 million, 9.1% higher than in fourth quarter of 2021, mostly explained by inclusion of JAFRA to our results and partially offset by the higher interest expense due to the debt obtained to fund this acquisition. Earnings per share for the period were MXN5.62 and free cash flow for the quarter defined as cash flow from operations minus CapEx was strong with an increase of more than 300% attributed to both Betterware and JAFRA’s cash flow generation, lower CapEx and efficient working capital management. For the year, including JAFRA’s results from April 7, 2022, consolidated net revenue increased 14.5% compared to 2021 explained by the inclusion of the JAFRA results and partially offset by the decline of net revenue in Betterware. Comparable net revenue declined 36.9% mainly explained by a lower level of associate and distributors. Consolidated gross margin expanded 1,198 basis points to 68.2% compared to 56.2% in 20 21, explained by JAFRA’s higher gross margin and to a lesser extent a 186 basis points margin expansion in Betterware, mainly due to price increases the normalization of supplying chains, including the decline in freight costs. Consolidated EBITDA for 2022 was MXN2,230 million, 19.4% lower than in 2021 and EBITDA margin contracted 812 basis points to 19.2% due to the decline in Betterware's net revenue and loss in operating leverage. Comparable EBITDA decreased 48.6% and comparable EBITDA margin contracted 509 basis points to 22.3%. It is worth noting that we were able to reduce our operating expenses specifically our fixed cost in absolute terms, although not enough to offset the loss in operating leverage. Consolidated net income declined 59.3% to MXN735.1 million, mostly explained by a lower operating leverage in Betterware and a 617% percent increase in our interest expense due to JAFRA acquisition. Earnings per share for the year were MXN19.73. On a positive note, free cash flow generation increased 3.4% attributed to JAFRA cash flow generation and lower CapEx investments. As for our balance sheet, the company's financial position remains strong even after the acquisition of JAFRA which resulted in a significant increase in our total debt. Our total net to trailing 12 months EBITDA ratio closed 2022 at 2.6 times. This figure only considers the JAFRA operation since the acquisition was closed in April 2022 and our interest coverage ratio also considering last 12 months' figures is 3.4 times. We will utilize most of our operating cash flows and additional cash flow from divestments of unproductive assets to reduce our debt burden and further strengthen our balance sheet. Betterware and JAFRA high cash flow generation nature will allow us to gradually deleverage going forward, reducing our net debt to EBITDA ratio to below two times. Regarding our 2023 full year expectations, we are cautiously optimistic and confident in our current trends despite an uncertain economic external environment. We expect our consolidated net revenue to be in the range of MXN13,200 million to MXN14,200 million and our consolidated EBITDA to be in the range of MXN2,600 million to MXN2,800 million. In terms of dividend payments, our Board of Directors has proposed a dividend payment of MXN100 million for the quarter, which is subject to the approval at the Ordinary General Shareholders Meeting to be held on March 8, 2023. For the following periods, we could pay growing quarterly dividends if the group's results are as expected. In conclusion, after the acquisition of JAFRA, we are now a larger and more recycling group with two companies that diversify our business. Over the longer term, we remain confident in our ability to seize growth opportunities, which will allow us to generate strong cash flows and continue to maximize shareholders value. I will now turn the call over to the operator, and we'll take any questions you may have. Thank you.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from Eric Beder with SCC Research. Please proceed with your question.
Eric Beder: Good morning. Congratulations on quarter and year of lots of positive, lots of changes. And thank you for the additional color you're providing in the press releases you're putting out now. My question is about logistics. I know that, there have been issues with product flows and other pieces. Where are we seeing now in terms of your ability to be able to plan and to be more aggressive in terms of knowing that the product is there and making sure it's in stock and the ability to source it cheaper?
Andres Campos: Hello, Eric. This is Andres. So, in terms of logistics of bringing the product from our manufacturing in China, we are not seeing any disruptions. In fact, we are seeing a decline starting this year steep decline in container prices and availability. So, we think that, this year it's going to benefits our profit margins from this steep drop in the container prices. And we have also obtained a decrease in price of going the cost of products due to the decrease in raw material prices that are being seen in general around the world and in China as well. So, I don't know if this answers your question.
Eric Beder: No, I think – that's good to hear. In terms of a follow-up, you have – you reiterated the potential synergies from JAFRA. As you're getting more involved in the company, do you believe that MXN200 million to MXN300 million synergy is conservative? And how should we be thinking about the ability to leverage the factory as JAFRA continues to expand? Thank you.
Luis Campos: Eric, this is Luis. We are still working and we will keep working all this year on finding out more synergies and leverage of our activities. Then we don't know exactly how this is going to end up. But I think we are still plenty of opportunities, okay? Then both companies are working or finding new synergies and also best practices to exchange between Betterware and JAFRA. And we'll keep you posted quarter-after-quarter about the amount we are finding in terms of synergies then we are going to update every quarter regarding that. But we are very confident about the possibilities there.
Eric Beder: Great. Good luck in the rest of -- good luck in 2023. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Cristina Fernandez with Telsey Advisory Group. Please proceed with your question.
Cristina Fernandez: Hi, good morning and congratulations on the progress you're making. I had a couple of questions. I wanted to see if you could provide more color if you think about the consolidated outlook for the company for 2023, any more color you can share – or any color you can share about the what you have embedded as far as the performance between Betterware and JAFRA for the full year?
Luis Campos: Christina, could you specify what sort of -- what color you're looking for is more – more in terms of revenue or in general as a company?
Cristina Fernandez: Yes, I would say revenues, so you gave an outlook for revenues and EBITDA for the consolidated company. Any details that you can share about what's embedded for Betterware versus JAFRA within that consolidated outlook as far as like whether you're expecting Betterware revenue growth and EBITDA expansion? Or I just wanted to understand sort of what's within that outlook?
Luis Campos: Yes. As a group, this is Luis, Cristina. Good morning. As a Group, we -- as you can see, we can expect the growth for this year, both in revenues and EBITDA and consequently also in terms of sales force growth. In the case of Betterware, as you remember, the curve is for this year is basically no growth in the first and second quarter, and we will begin growing in the third and fourth quarter in terms of revenues. In terms of EBITDA, I think we have strong EBITDA margins since we will have reductions from the first quarter. And will remain basically the same all over the year. In -- talking about JAFRA, we are already growing our base of consultants and we can expect growth as compared to last year in every quarter, okay, beginning in the first quarter then this is in the case of JAFRA Mexico. In the case of JAFRA US, as we are reporting, it would take a little bit more time. What we expect in the case of JAFRA USA is a breakeven situation in terms of EBITDA for this year and a slow both progressive growth beginning on Q3. I think for Q1, we will see a decline in revenues as well as in Q2. But in Q3, and Q4, we can expect some slow growth in JAFRA US. This is basically the way we see it and the way we have outlook for the year.
Cristina Fernandez: Okay. Yes. No, that's very helpful, Luis. And as a follow-up, you gave a pretty wide range, particularly on the revenue guide for the year, the $13.2 billion to $14.2 billion in revenues. I guess, what are the factors if you think about getting to the low end versus the high end, how much is it just uncertainty around the environment versus company specific initiatives like maybe how you're thinking about that framework?
Alejandro Ulloa : Hi, Cristina. This is Alejandro. Well, we are expecting as we mentioned some opportunity growth during the year. And the range is a little bit wider than expected, because we have seen on previous years some risks and we are not -- we are looking at the same risks in this year. We have been hearing that the US is going to start maybe a recession. Mexico, we have still some high inflation. Inflation reported on Monday, it was a little bit lower than expected, but still is high. So, these risks are having some effects in our estimates. And what you can see in the guidance is that the margin -- the EBITDA margin is in line with lower and higher range. So, we are expecting obviously to go to the higher part of the guidance. However, we will be managing these opportunities during the year according to what we are experiencing with mitigating these risks along the year.
Luis Campos : I would add Cristina that following what Alejandro just said, that we don't want to be too optimistic for this year. We are doing everything to everything is something in our hands in order to end up in the upper level. However, we have to be cautious because of the external risks that are still out there.
Cristina Fernandez: Thank you. Then another question I had and maybe this is more for Andres. On the Betterware side, you commented about seeing some sequential growth around 3% quarter to-date versus the fourth quarter. What's different now in the past few weeks and months versus back in the fourth quarter that gives you confidence that in fact the fourth quarter was the bottom and we'd see sequential growth from here. I think there's been a couple of quarters where we felt it was the bottom and it wasn't. So maybe anything, I guess, green shoots or any signs that maybe things are finally bottoming?
Andres Campos : Yes. So, I would put it in two buckets. One is the external factors and the other one is internal. The external factor, if you remember, the steep decline started in December of 2021 and especially in the first quarter of 2022, because the Mexican population was fully vaccinated and the return to normality when fallout starting in December of 2021. So, 2022, we took a huge hit from that, because everything really returned to normality during 2022. Now that it's been a full year of return to normality. We are seeing January and February similar in terms of consumer trends to what they were one year ago. So now we can grow from there. Now the internal factors, which I think are even more important is that last year, we had to remake our strategy to gear towards this new normality. So, these strategies don't -- we cannot implement them from one day to another. It took a while to both figure them out and start implementing. So, I think that we are seeing in the first quarter even through the fourth quarter of last year, we're seeing that the implementation is helping. Fourth quarter of last year of 2022, with decrease, the decline that we were seeing and I think that in the first quarter of this year, we're seeing these strategies consolidate. Some of them, just to name some are, we redesigned our catalog both physical and digital and that started -- the new design started in January of this year. Product innovation, we have to rebuild the core and we have to start launching new categories and that is taking account this year as well. Another one is that we designed our sales staff, which is our in-person strategy to be face-to-face with distributors and that's started by the end of January of this year. So that's just to name a few. I think we've named most of them in the report. But these strategies are really hitting the ground now. And I think that gives us a lot of confidence on what we can obtain this year.
Cristina Fernandez: Thank you for that. And one last one. Where are the things staying on the sale of the JAFRA headquarters in Mexico City, and is getting to the two times net debt to EBITDA conditional on having the proceeds from that sale?
Luis Campos: Yes. We are -- Christina, this is Luis, we are already working on selling the land that belonged to JAFRA. We are moving the headquarters in the next few months to a new rented facility. We are leasing a building for our JAFRA headquarters. And we expect to sell the land sometime this year. This is in an excellent location in Mexico City. However, we will sell the land as long as they pay what we want for it, okay? If we don't get what we want, we will wait for us selling the land. In case we sell it, we will use 100% of those resources to prepay the long-term loan we have, which will benefit our leverage for the year, okay? Then we will keep you posted in the next few quarters.
Cristina Fernandez: Okay. Thank you.
Operator: [Operator Instructions] As there are no further questions at this time, I would like to turn the floor back over to Mr. Luis Campos for closing remarks.
Luis Campos: Thank you. Thank you everyone for joining us today. We look forward to speaking with you when we report our next quarter results, and definitely meeting with many of you at upcoming investor conferences. Thank you. Have a good day and see you next time.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.